Michel Aupers: Good morning, everyone. I'm Michel Aupers, Investor Relations Manager at Royal BAM Group. Welcome to everyone joining this analyst meeting here in Amsterdam or in the audio webcast. The meeting is hosted by our CEO, Ruud Joosten, and our CFO, Frans den Houter. They will give a short presentation on key points of BAM's results for the first half year 2024. Afterwards, we will take your questions. I draw your attention to the disclaimer here. Ruud, over to you, please.
Ruud Joosten: Thank you, Michel, and good morning, all. This picture shows the recently completed new DSM firmenich headquarters in Maastricht. This building is the first renovated listed building in the Netherlands, set to become Paris-Proof for its low operational carbon footprint. Let's start with the key points of the first half year. BAM delivered a solid performance in the first half year of 2024. The adjusted EBITDA increased by 6% to EUR126 million versus the same period last year, and our group revenue also improved by 6% to EUR3.1 billion. The adjusted EBITDA margin was in line with the last year -- with last year at 4%. Most of our businesses performed well, but it's disappointing that our results were held back by the indoor arena project, Co-op Live in Manchester and two schools in Denmark. These projects, which are nearing completion resulted in substantial losses. In recent years, BAM has made significant progress in de-risking its portfolio. When I started as CEO after the summer of 2020, BAM had approximately 20 high risk projects in the portfolio. At that time, we were still working on projects like sea lock IJmuiden, Museum of the Future and Yas Arena, both in the Middle East, and we were in the middle of a complicated dispute with our client regarding the [indiscernible] project in the Netherlands. Today, we have completed the majority of these projects and therefore they are no longer a threat to our profitability. Zooming in on our portfolio today, we are nearing completion of remaining projects as Silvertown Tunnel in London, National Children Hospital in Dublin and Cross River Rail in Brisbane. The Fehmarnbelt Tunnel project between Germany and Denmark is expected to be completed in 2030. We have halved our exposure to 12.5% stake after the divestment of Wayss & Freytag. Over to the key performance indicators. In the first half year, we realized a net income of EUR55 million, reflecting an earnings per share of EUR0.20. Furthermore, our liquidity position remained solid and our capital ratio further improved. Our order book increased by 12% to EUR11 billion. A substantial part of our recent project wins is in line with our strategic objective to expand in sustainable solutions while we remain focused on the quality of the order intake. Now let's look at the performance of the two divisions. On this slide, you can see very energy-efficient homes realized by BAM Wonen in the Gashouderkwartier in Arnhem. For inspiration adjustments to their homes, the buyers were invited to our experience center Homestudios. Adjusted EBITDA in the division Netherlands was up from last year to EUR70 million reflecting a margin of 4.7%. In the segment construction and property, there was a strong contribution of residential. The Dutch residential market is improving and we sold 832 homes, much higher compared to last year. Consumer confidence is solid due to a combination of increased salaries, continued low unemployment and stabilization of the interest rates. For the full year, we expect to sell approximately 1,700 homes, which is in line with the number of homes sold last year. The reported adjusted EBITDA included substantial losses on the two schools in Denmark. We'll complete these projects before year end. The civil engineering activities continued the positive trend over the last years and delivered a solid result. Our Dutch order book improved to EUR5.1 billion. Moving on to the division UK and Ireland. On this slide, you can see a recently opened breast center in Wales, a healthcare project of Construct UK. The overall result decreased to an adjusted EBITDA of EUR51 million, reflecting a margin of 3.2%. Construction UK reported an adjusted EBITDA loss of EUR24 million and that includes the earlier reported project delays and supply chain issues. In the second quarter, we had additional cost of around EUR30 million related to the delayed opening of Co-op Live. Our other businesses in the division UK and Ireland performed well. Civil engineering UK had an exceptional strong start of the year, supported by high activity levels, especially in rail. BAM Ventures also showed a solid performance. Result in Ireland improved substantially, also supported by a partial claim recognition in Ireland for the National Children Hospital. Last May, the independent conciliator recommended an award of EUR107 million and a significant extension of time to BAM for this project. Much of this around flows to related claims and the supply chain. The project result improved with a single digit number, partially offsetting losses supported in previous years. The NCH project is now for more than 90% completed and we are on track with the revised timetable to deliver -- for delivery to the client. Now, Frans will take you through the financials.
Frans den Houter: Thank you, Ruud and good morning, everyone. This slide shows Schiphol, a key client of BAM. At Schiphol, we have started a large scale replacement of climate systems on the E Pier. This is a good example on how we are supporting our clients to become more sustainable. This morning, we released a solid numbers -- a set of solid numbers to the first half year of 2024, a revenue of EUR3.1 billion, delivering an adjusted EBITDA of EUR126 million. Both numbers are a step up of 6% versus the previous year. Obviously, I share rich disappointment related to the losses in Construct UK and the two schools in Denmark. However, the good performance for the rest of the portfolio was able to more than offset these losses and this resulted in an adjusted EBITDA margin of 4% overall in the first half year. Our results are supported by the performance in Civil UK, the important settlement on new children's hospital and the strong performance in Dutch residential. The strong net result of EUR55 million contributed to a further growth in equity to approximately EUR950 million and as such again a stronger balance sheet, also earmarked by the solvency of 24.5% and a solid cash position of around EUR450 million. The company has not used the RCF during the first half and we do not expect to use it for the remainder of the year. Now let's look at the income statement. Revenues were up by 6%, mainly driven by division NL as residential home sales recovered. We sold 832 homes, mainly to private buyers and we continued our focus on selective multi asset clients like Schiphol Airport. Our Belgium businesses contributed very well, offsetting the modest rundown cost of divested businesses and BAM International. BAM share of Invesis net result for the first half year was breakeven and there were no exceptional item and the result is broadly in line with the normal operational performance of Invesis. Going forward, there is an attractive pipeline and you may have noticed that last week a consortium with Invesis is the preferred bidder for the Melton Hospital in Melbourne, Australia. Depreciation and amortization totaled EUR61 million, which is 12% higher compared to last year, a result of our increased investments in sustainable and modular solutions including the continued electrification of our plant and equipment. At this moment, approximately half our leased cars have been electrified and the first batch of EV company car [events] (ph) are on the road. We report restructuring cost of EUR4 million, mainly to adapt to the organization of Construction UK to the current market circumstances. Income tax in the P&L is EUR10 million, resulting in an effective tax rate of 16%. I reiterate our guidance on an effective tax rate of 80% to 20% for the coming years. For this year, the slight lower effective tax rate is explained by the relatively high contribution of Ireland where the tax rate is only 12.5% and a small tax benefit related to the wind down of BAM International. For the full year '24, the effective tax rate will be around 16%. Bottom line, BAM reports a net income of EUR55 million reflecting earnings per share of $0.20. Now let's look at the cash flow statement. Our cash flow from operations was EUR111 million and in line with our performance of last year. The majority of the cash outflow in working capital is explained by the normal seasonal pattern and compared to the first half year '23, a modest net investment in land positions. We expect that the current level of trading working capital efficiency of around minus 11% is a good proxy for the years to come based on what we now know. The cash out on provisions and pensions totaled EUR53 million and the cash out on investing is EUR59 million. Cash from financing activities included EUR53 million for the payment of cash dividend and the buyback of shares. Our share buyback program is progressing well. The repurchase of 7.2 million shares issued for the dividend in stock was completed and today, we continue the additional 30 million share buyback which will lower the number of outstanding shares ranked for dividend. Based on the current run rate, we expect to complete the repurchasing early in the fourth quarter. Back to the cash flow statement. The remainder of the cash flow from financing relates to the leases and our liquidity position remains solid at EUR453 million. Now over to the financial position. Trade working capital asset landed at minus 11.3% and our capital ratio landed at 24.5%, a further increase versus the year 2023. Our liquidity position remained solid and we further strengthened our capital base. To conclude, I would like to highlight that we have accelerated our midyear reporting by three weeks and as such update our shareholders faster on our performance. Also, it's a nice proof point on how we have strengthened our processes, smartened our systems and improved collaboration within our teams. Now, back to you Ruud.
Ruud Joosten: Thank you, Frans. I would like to conclude with the market trends and our outlook for the full year. Here we show you the teaching and communal building of Southam College in Warwickshire, home to 1,650 students. This college will achieve a net zero carbon emission and low energy use. This scheme of BAM Construct UK is setting the bar and will give guides how schools are built in the future. We continue our strong focus on order book quality and selective tendering. The order book increased by 12% to EUR11 billion, driven by recent project wins in line with our strategic objective to expand in sustainable solutions. After the elections in the Netherlands and in the UK, there are new governments in place. These governments have ambitious plans which are at first sight positive for the construction industry, but we have to wait and see how the ambitions will be translated in real projects to improve infrastructure, education, energy, security and result in the production of more sustainable and affordable homes. In general, cost increases are leading to delays in some project awards in non-residential while utilities and grid operators continue to invest in infrastructure. The residential market further improved driven by robust consumer confidence due to salary increases, stabilization of interest rates and the continuing high employment rates. For the medium to longer term, there remains compelling rationale for essential investments in energy transition, infrastructure and sustainable and affordable homes. In the UK, the order backlog of civil engineering is expected to benefit from governmental plans to energy security and continued investment in transportation. The markets for retrofit and refurbishment projects and the education and health provision offer attractive opportunities. The Irish economy is performing well and we continue to be positive about the overall level of opportunity in the construction and infrastructure markets notwithstanding traditionally competitive environments. We are confident that our recently launched strategic roadmap will deliver value to our clients, create development opportunities for our employees and generate attractive returns to our shareholders. BAM expects to deliver an adjusted EBITDA margin between 4% and 5% for the full year 2024. Now, we will take your questions. Yes, please do.
Q - Thijs Berkelder: Let's start. Thijs Berkelder, ABN AMRO-ODDO BHF. First main question is on the adjustment in your EBITDA margin guidance for the full year. I've understood it previously was 4% to 6%, now 4% to 5% for the full year. So question is, what is weaker than expected in your H2 expectation than in your previous assumptions?
Frans den Houter: Well, we see the outlook within our range that we provided when we presented our strategy 4% to 6%. So this is within the strategic bandwidth that we presented at that moment in time. We are looking at H1 and some de-risking activities that we still need to do within the portfolio, as mentioned before. So in that context, and with the results of H1, at this moment in time, we feel comfortable with the 4% to 5%.
Thijs Berkelder: Okay, thanks. Then a follow-up question on Netherlands construction and property margins. Martijn asks why the margin is still, let's say, in his perception downbeat despite stable housing sales.
Frans den Houter: Yeah, we think the profitability there is, let's say, in line with what we used to see there in the past. So we don't see -- we don't recognize there a low beat profitability. I think the profit -- the extension of the home sales in the first half year is supporting the results of the Dutch division pretty substantially.
Ruud Joosten: Yeah. Also year-on-year, if you compare, but also taking into account the comment that was made on the schools in Denmark, there was some headwind in construction.
Thijs Berkelder: Those are included in Netherlands.
Ruud Joosten: In the Netherlands, yeah. So if you're correct for that, we're pretty happy with the performance on the residential side.
Thijs Berkelder: Okay. And do you still see green shoots in the Dutch residential market, upside potential in the Dutch residential market or with the change in cabinet, of course, we'll have to see.
Ruud Joosten: Yeah. Mid to long term. The fact is that there is a strong demand for homes, affordable homes in the Netherlands. And that's only increasing, I think over the last period. I see positive plans by the new government coming in, in the [indiscernible]. So there is, I think the plans are on the table. It's more about execution. Long term we are positive because in the end this demand needs to be fulfilled. The million houses are mentioned possibly 800,000, but for let's say the next 10 years, the demand is there and BAM can provide these affordable homes starting by the back of this year in our wooden concept. So also in a sustainable way. So that opportunity will be very positive for BAM results in the future. I think that the market bottomed out end '23, beginning of '24. You see also that in the increase of our sold homes in the first half year, but the opportunity is much bigger that's also are clear.
Thijs Berkelder: Yeah, but it's not that you now see a further acceleration from the start of this year?
Ruud Joosten: Well, that's difficult to say. For the full year we expect 1,700 homes. So you see, we are still conservative in our expectation for the full year and that has to do with the fact that indeed it's still difficult in this country to get permits in time, infrastructure in time, yeah, to start building homes. So indeed good improvement over the last year in homes sold in the first half year. But yeah, let's stay realistic and that's why we mentioned the 1,700 homes.
Thijs Berkelder: Okay, for now, final question on islands, there was a claim collection.
Frans den Houter: Yeah.
Thijs Berkelder: Supporting the results. So excluding that claim collection, the margin was a bit more.
Frans den Houter: No, there was a claim indeed, we had a settlement on new children's hospital on a claim. That amount was also in the news, EUR107 million. Majority of that is related to subcontractor cost and own cost. And then we had a healthy normal margin on the variation order that we brought to the P&L.
Thijs Berkelder: Okay, clear.
Frans den Houter: So it did help, of course.
Time Ehlers: All right, then let me continue. Time Ehlers from Kepler Cheuvreux, thanks for taking my questions. Let me maybe continue with the housing production. So you're guiding for 1,700 homes. That basically means that you expect a similar performance in H2 compared to H1. So this year, no spike in Q4 that you usually have or is it just because you want to be a bit more cautious with the potential to go higher than the 1,700?
Ruud Joosten: Yeah, that's difficult to say. Like I said before, of course, the first half year was much better than last year, so that gives hope for the second half year. But indeed, we also saw a spike in Q4 last year and that spike is very difficult to predict. Of course, it's still a commercial process. So again, I think it's realistic and wise to at this moment in time to expect kind of a same performance in the second half year than in the first half year.
Time Ehlers: Okay. And then maybe also about Ireland. So the settlement of the claims, I guess is a good sign. Does it also mean that the risk that relates to that project is significantly decreased and there that we don't have to expect any negative news coming from Ireland anymore?
Ruud Joosten: It's a significant step because it's not only the EUR107 million, it's also an important time extension we got for the project by the independent conciliator. We are now over 90% completion. So the risk is decreasing day by day by default because of that finalizing process that we are in at this moment in time. Still complex project, but if you look at the results and if you look at the building already now, it's really an amazing project and it's a fantastic hospital. It's probably one of the best hospitals for children in the world. So we are very proud of the team we are finalizing. This was a very significant step for us, proving that we are doing a good job. And of course, there's a lot of negative publicity by let's say the customer about BAM. But I think we can be extremely proud. And yet our team had the perseverance to just work through. And at the end, this will be an amazing hospital for the children of Ireland. And on our side, indeed, risk is coming down day by day and we hope to finalize the -- we will finalize the project in H1 of '25.
Time Ehlers: Okay, great. That brings me to my next question. It's actually, well, since I remember one of the first times that you mentioned legacy projects in the press release and gave us an update. So that's very helpful. Thanks for that. For Fehmarnbelt, you mentioned 2030 as the target's finalization date. But for the other projects, you don't mention a desired year when or the targeted year when it's wrapped up. While we mentioned they are all above 80%. Is it fair to assume that everything goes well, which obviously you can't predict. We can expect the finalization within the next two years for the other projects. Is that realistic?
Ruud Joosten: We think earlier.
Time Ehlers: Earlier.
Ruud Joosten: So, I think we feel more comfortable. I think you recognize that because indeed when we started four years ago with our strategy, we had a list of more than 20 of these projects. So it was very difficult in these kind of meetings to discuss them. Now it's in a completely different world. So now we can say, this is the list, it's in the press release. And most of these projects will be finalized in a year from now. But we're also very clear about the project Fehmarnbelt, which has a completion date 2030. So that will be in the portfolio for several years to come. But it's a complete different portfolio than four years ago.
Time Ehlers: Because all the projects you mentioned in the press release also including the Denmark projects and the Co-op arena, these are all the projects from the legacy portfolio and there's nothing else.
Frans den Houter: Yeah, so I mean projects, the two schools in Denmark and the Co-op project will be completed this year. Then you have the three other ones that Ruud mentioned, Brisbane, new Children's and Silvertown completed next year. And then indeed [indiscernible] remaining. That's the rundown of the tail end of the project list that you guys asked many times for in the past years but...
Time Ehlers: Thanks for delivering it. Okay, I have some other questions, but I first will pass on and ask the other ones later.
Thijs Berkelder: I will do a follow-up then. Thijs Berkelder again. On your legacy projects, you're saying that these three projects are progressing well, but I'm not seeing at the Fehmarnbelt Tunnel that is progressing well. Is that on purpose?
Frans den Houter: It's a reflection we made to ourself starting 2020, is a long list. Circa 20 projects. We have three projects in there that are progressing well and nearing completion next year. The FLC is progressing, but we just started there. So it's in a different phase clearly than the other ones that are nearing completion. This is starting up towards end of construction now scheduled 2030. So it's not comparable with the other three.
Thijs Berkelder: But the startup, in your view is according plan or?
Ruud Joosten: Yeah, the plan is to have the first immersion of the first part of the tunnel, the first 200 meters by the end of this year. And that shows you that it's really the start of the project. But it's a very complex and huge project. It's an 18-kilometer tunnel between two countries with a very special technology. So let's not speculate on where we are. The factory is in place to build these elements but again the first immersion will only happen by the end of this year, so we are close on it. You can follow the project on the Internet, independent Internet site. It's really amazing to see what's happening there. But again, it's the beginning of a long and complex project.
Thijs Berkelder: Yeah, I know. There are more companies involved in.
Frans den Houter: We have 12.5% there. We used to have 25% before we sold Wayss & Freytag. So we are now at a relatively small percentage of 12.5%.
Thijs Berkelder: And then in the main part of the press release you're talking about regarding expand, BAM growing in grids and EV charging solutions, just from my understanding, you're growing in grids. Is that high voltage, mid voltage or more last mile grids? How should I see that? Your role?
Ruud Joosten: Yeah, we are in all these mentioned segments. So for example, we build land stations for sea windmill farms that come in on sea -- from sea in high voltage, and then it's distributed to the local suppliers, where we also are very much involved in the low voltage and mid voltage grids. So this is an integral approach from BAM to the electrification market.
Thijs Berkelder: That market is growing fast. But in EV charging, are you also seeing there now a kind of slowdown similar to.
Ruud Joosten: Well, the Netherlands is by far, let's say, the most developed in Europe even, so that's different in the UK, where the opportunity is still much bigger.
Frans den Houter: Yeah, it's a stable baseline of work, I would say.
Thijs Berkelder: Okay. And you also had quite some business in fiber rollouts, I've understood or is that small on the total?
Ruud Joosten: It's part of the specials in the Netherlands, of course, you see in the Netherlands now that also there the Netherlands is most developed with fiber-to-the-home, still attractive market for us at this moment in time. But you see that easing off over the next couple of years in the Netherlands.
Thijs Berkelder: Yeah. The maturing of the market is clearly visible. Yeah. And coming back on the new Dutch government, are you sort of in talks with the government on accelerating the process? Is that different/better than before or can you give any comments there on.
Ruud Joosten: In all fairness, I think the new government is still settling in. The new ministers are settling in. And of course, like I said before, the [indiscernible] looks promising, but I think they're in the phase now to settle in and probably after summer come with more pragmatic or real actionable plans to the market. So we give them some time to contact them and to start working together on all these plans, because we need speed. We need speed in home building and infrastructure in both the UK and the Netherlands. And of course, we also use our [BAM and Netherland Organization] (ph) to have -- for the whole market, for the whole sector, to have discussions with the Hague on that one. But also as BAM individually, we will contact and have these contacts like we had with previous ministers.
Thijs Berkelder: And looking at your sector from a staffing perspective, is that becoming easier because of, let's say, other sectors heading for a downturn?
Ruud Joosten: We still have a lot of vacancies. It's really difficult to attract people and to retain them. So that's a very important point for us, making the right culture in the company and making sure that people want to work with us, but also want to stay with BAM. But yeah, there's a lot of competition, so it's hard work to fill those vacancies. Still, we don't see that easing off.
Thijs Berkelder: Okay, thanks.
Time Ehlers: Okay, thanks. Then some follow-up questions, especially with regards to UK. So taking Construction UK a bit aside due to the Co-op arena, but looking at the other divisions, I think the margins were pretty good, actually better than the previous periods. Was that a one hit wonder, is that the baseline that you want to go to, because I mean all of them are above the 5% mark. Ventures UK again over 10%, although you guided a bit for somewhat weaker results compared to last year. So how should we view that? Is that exceptionally good H1 and then H2 back to normalization, or are we seeing sustainable margin levels there?
Frans den Houter: No, I think it's the right conclusion that indeed several ventures in Ireland performed really well. So we're really pleased with that. There are no big one offs in there. So I think it's a very solid performance. You do see in a construction firm that timing is of the essences. Sometimes you have some headwinds, you see on Co-op, in the end of the project, you have a setback, and sometimes you have positive settlements, like new children's in the tail end opening islands. You will always see that in a portfolio of construction company, you always have pluses and minuses. We're happy with the overall result. And it's really nice to see that these three segments perform well.
Time Ehlers: Because if I look at UK, it always used to be weaker than the Netherlands on the adjusted EBITDA margin level. You also mentioned it has to do with some accounting rules.
Frans den Houter: Yeah.
Time Ehlers: If we go to let's say 5% overall in the UK.
Frans den Houter: No, I think you have to -- it's a fair remark. There's a structural element in there, because in the Netherlands we do property development and we have more joint ventures. So the EBITDA in the Netherlands is typically a bit higher than in the UK. If you look at it from a net result perspective, the divisions are really nicely balanced. We saw that previous year and we see that now again. So yeah, we give overall guidance on EBITDA for the company, but on net result basis those divisions are really nice on par I would say.
Time Ehlers: Okay. And then the order book in the UK grew very nicely by 22%. And you also mentioned that one element in there is office project. Is that a trend you see that offices are coming back because it used to be one of the weaker markets in construction or is that just an exceptional project that you won, but you don't see an overall improvement in offices and commercial construction.
Ruud Joosten: The UK, the increase of the order book is mainly in the infrastructure part of the business, where we see big wins and big electrification projects, which exactly where we want to be and in rail as well. We still see weakness in the commercial market, commercial construction, same as in the Netherlands, hesitation of customers. So sometimes you have a big tender coming in. That's true. But overall the segment is still weak and people are hesitating about new offices, for example. So what we are focusing on in that segment is healthcare, education, where we see indeed plans of the government to invest heavily. So there we see that uptick coming probably when the new governments are coming in, and especially in the UK, I think the Labour party winning the elections have their focus point, especially on education. I think there we are in a very good spot with our experience and skills and capabilities in education to profit in coming years.
Time Ehlers: Okay, great. Then two more questions and then that's it from my side, one is recurring revenues. Any developments there? Did you see a further increase in recurring revenues? Anything to report from your side?
Frans den Houter: I don't see a big change there, I think compared to former or earlier quarters. I think the portfolio of the business is relatively the same. So I don't see big changes there.
Ruud Joosten: I think the growth in UK was also driven by Civil, which is typically multi-year projects. So it has a bit of a longer horizon. But it's not repetitive frameworks, but it's large projects that support revenues for the coming years as a nice baseline.
Frans den Houter: That's a good one. I think when you look at recurring, for example, our connection with some of these customers like SSE, but also the rail network is in a way very continuous and you see projects coming in on a very regular basis. Is that recurring business? Maybe a definition question.
Time Ehlers: Okay, cool. Then one last question with regards to your trade working capital. So quite a further step towards normalization, I would say. Can we expect the level that you are aiming for. So you were guiding from roughly 10%, never mind it’s 10% trade working capital. Now we had 11.5%, I think.
Frans den Houter: 11.3%.
Time Ehlers: 11.3%. So by the end of the year we have reached the 10% and then.
Frans den Houter: No, so the guidance we gave. So first of all, it's difficult to predict trade working capital. So it's always within what we now know and see. Last year we said we'll see a normalization of another 1% to 10%, to 2%, to around minus 11%. And that's what I would repeat today. As a company, we want to be better than minus 10%, which minus 11% is. And we've, as we now see it, we think we will stabilize going forward around minus 11%
Time Ehlers: Okay. And also not with increasing residential activities, you don't see uptick in prepayments again, which then would.
Frans den Houter: It's always a mix because you have so many moving parts in there. Also interest rates have an impact because customer behavior then moves in the other direction with higher interest rates. So it's in the mix of everything. We feel around minus 11% to be a good proxy.
Time Ehlers: Okay, great. Then that's it for me. Thanks.
Michel Aupers: Thank you. Then with this I think we can finalize the call. Thank you for your attention and see you next time.
Ruud Joosten: Thank you.
Frans den Houter: Thank you.